Marcos López: [Foreign Language] Good morning to everybody. A warm welcome to all of those attending the presentation of Inditex's results for the Interim 9 months 2022. I am Marcos López, Capital Markets Director. The presentation will be chaired by Inditex's CEO, Oscar García Maceiras; also with us is our CFO, Ignacio Fernández. The presentation will be followed by a Q&A session, starting with the questions received on the telephone and then those received through the webcast platform. Before we start, we will take the disclaimer as read. Please, Oscar.
Oscar García Maceiras: Good morning, and welcome to our results presentation. It is my pleasure to join you today. In the first nine months of 2022, our business model has continued to deliver a strong growth. This performance relies on the 4 key pillars that we have introduced to you previously, our product offering, a unique customer experience, our focus on sustainability and the talent and commitment of our people. We have had a very strong sales performance in the 9 months of 2022, and this performance has continued beyond this period with autumn/winter collections very well received by our customers. The execution of the business model has also been remarkable despite a challenging environment. These are the reasons why sales, EBITDA and net income have reached historic highs, both in the first 9 months and in the third quarter of 2022. Our operating performance places us in a robust financial position. We have generated significant free cash flow, taking our net cash position to EUR 10 billion. All this in conjunction with a well-established dividend policy. Let me highlight some key figures for the year thus far, marked by a strong execution of the model. Sales reached EUR 23 billion, 19% higher versus the 9 months of 2021. Sales were positive in all geographical areas and in store and online. The control of operating expenses was rigorous as they grew well below sales growth. On the bottom line, net income increased 24% to EUR 3.1 billion, and our operations continue to generate a strong cash flow. Our diversified presence in 215 markets with low market penetration allows us to enjoy significant global growth opportunities. We have complete confidence in the ability to grow our unique business model. I will hand you over to Ignacio to go into the detail behind the headline numbers.
Ignacio Fernández: Thank you, Oscar. As you can see in our release, Inditex had a very strong execution in the 9 months of 2022, despite the challenging environment. As Oscar mentioned a few moments ago, sales EBITDA net income reached historic highs in the 9 months and in the quarter. Sales have progressed strongly at plus 19%. We have managed the supply chain actively, and this has driven a healthy gross margin. Operating expenses have, of course, been managed rigorously. Net income increased 24% to EUR 3.1 billion. We continue generating a significant free cash flow, taking our net cash position to EUR 10 billion. Let me reiterate that sales have progressed very nicely at plus 19%, reaching EUR 23.1 billion and grew 20% in constant currency. Sales have been positive across all regions. In the first month of 2022, Inditex's traffic and store sales increased significantly. This trend continue as the year progress with store differentiation being key. Online sales also progress satisfactory, over and above the record 9 months of 2021. Based on current exchange rates, we expect a natural currency impact on sales for the full year 2022. In the 9 months of 2022, gross profit increased 19% to reach EUR 13.5 billion and demonstrated a healthy execution of the business model. The gross margin reached 58.7%. Based on current information, we expect a stable gross margin of plus/minus 50 basis points for 2022. There has been very rigorous control of operating expenses across all departments and business areas. Operating expenses increased below sales growth over the 9 months of 2022. Including all these charges, operating expenses grew 4 percentage points below sales growth. Inditex temporarily accelerated Autumn/Winter inventory inflows in order in the face of possible supply chain tensions throughout 2022. In order to increase product availability without any change to commitment levels. Due to this reason, inventory as of the 31st of October 2022 increased 27%. The Autumn/Winter inventory is considered to be of high quality. As of the 8th of December 2022, inventory levels were 15% higher. This assumes, in conjunction with the strong cash flow, took the net cash position to EUR 10 billion. And now over to Marcos.
Marcos López: Thank you. Over the 9 months of 2022, we have continued with very strong expansion. We have opened stores in 30 different markets and have progressed with optimization activities across all concepts. We are pleased with the execution of the concepts over the 9 months. Store sales across all concepts have been robust. Online sales are above the record levels over the 9 months of 2021. Zara has generated an exceptional performance over the period. All the concepts have progressed strongly, especially Pull&Bear, Stradivarius and Bershka. Back to you, Oscar.
Oscar García Maceiras: Thank you. I would like to comment on some initiatives this season, which are driving the increasing levels of differentiation we are seeing. Key priorities continue to be to increase the appeal of our fashion proposition and to offer our customers a unique experience. We continue providing the latest fashion in a fully integrated way. A good example of this is Zara Woman A moment in time collection; Zara Woman Cruise collection; Zara Man The knit; Zara Kids Autumn/Winter; Zara Home's A sense of Christmas; Pull&Bear's Night out; Massimo Dutti's Limited edition; Bershka's Art series; Stradivarius Unstoppable black; and finally, Oysho's Ski collection. In terms of the customer experience, I would like to highlight some key store projects of 2022, like the new Zara store at Juan d'Austria in Valencia, the enlargement of the Zara store at Busan in South Korea, or the enlargement of the Zara store at Kyoto in Japan. A key project for next season will be the relocation of the Zara store at Paris Champs-Élysées in spring. The new store will extend over 3,600 square meters and will offer the latest fashion in the most up-to-date image. Like our most relevant flagships stores recently opened, will include dedicated spaces for lingerie, shoes and handbags, the Origins collection, athletics and newborns. It will also include all the feature that allow a complete digital experience. We work to provide a unique customer offering on our platforms. One example of this is Store Mode. Store Mode has already been rolled out to around 60 markets. Let's now talk about sustainability. As per the sustainability roadmaps, Inditex is on track to deliver upon all the targets set for 2022, 2023 and 2025. Our strategy is particularly focused on 2 pillars: innovation through our Sustainability Innovation Hub and circularity. On the 30th of November 2022, Inditex launched the new detergent, The Laundry by Zara Home, which is available in stores and online platforms in more than 25 markets. Developed jointly by Inditex and BASF, the innovative solution reduces microfibers released by up to 80%. Detergent formula features a combination of efficient ingredients, particularly suitable for washing at low temperatures and thereby reduces the carbon footprint and extends the life of the textiles. The developed solution can also be adjusted to enable the use of this technology by other detergent manufacturers, and shows the effectiveness of cross-industry collaboration. On the 30th of November 2022, we launched Zara Pre-owned in the United Kingdom, a pioneering integrated platform available through Zara stores, zara.com and its mobile app. The initiative is a new step in our approach to circularity by focusing on repair, resell and donation. Through this platform, customers will be able to extend the life cycle of used clothing and will contribute to the reduction of waste. We continue to deliver upon our long-term goals. We offer a unique fashion proposition defined by creativity, design, quality and beauty. The continuous optimization of the customer experience is key to our approach. Sustainability and digitalization also remain at the core of our strategy. The talent, commitment and passion of our teams all around the globe will always be key to our competitive edge. I would like to reiterate that our main priority is always to invest in the future profitable growth of the business. Additionally, we will, of course, continue with our dividend policy. The strength of the fully integrated business model has been clear in recent times. We plan to continue developing these key long-term advantages in order to maximize organic growth. A key focus is on high-quality stores with the aim that they'll be fully integrated, digital and eco-efficient. As part of the strategy, we also expect online sales to exceed 30% of group sales by 2024. Stable gross margins have always been a key focus for us. As we continue to invest in the business, we expect to deliver a strong free cash flow. Ordinary capital expenditure should reach EUR 1.1 billion for 2022, which is driving differentiation and digitalization. We enjoy a global presence, having operations in 215 markets with low market share in what remains a highly fragmented sector. Based on our unique fashion proposition and the factors that I have mentioned earlier, the model is operating at full pace, and we enjoy very significant opportunities through both organic growth and expansion. Autumn/Winter collections have been very well received by our customers. The store and online sales in constant currency between the 1st of November and 8th of December 2022 increased 12% versus the record period in 2021. The final dividend for 2021 of EUR 0.465 was paid on the 2nd of November 2022. Our dividend policy of 60% ordinary payout and bonus dividends remains in place. As a reminder, the Board of Directors also proposed a total bonus of dividend of EUR 0.40 per share to be paid in relation to the fiscal 2022 results. Thank you all for attending. That concludes our presentation for today. We will be happy to answer any questions you may have.
Operator: [Operator Instructions] The first question today comes from Anne Critchlow at Societe Generale.
Anne Critchlow: I've got three questions, please. First of all, what was the increase in online sales in the third quarter? Second question, have you considered launching a marketplace on Zara or any other website? And then finally, please could you update us on the average basket size at Zara these days including sales tax and before returns?
Marcos López: Okay, regarding your first question about online. I think that in the presentation, we mentioned that online sales are positive, not only in the quarter but also on the 9 months over the record in the figure we obtained last year. So I think this is a very positive message. Stores clearly positive online is clearly positive. So very, very healthy execution. Regarding marketplaces, we have not changed our strategy. We remain exactly the same, and we have no plans to launch a marketplace in the short to medium term. And regarding the average basket, I would say that the most important factor is the strong execution of the model over these 9 months, you've seen that sales have increased 19%. And also, I would like to comment very clearly on the trading update of 12% that we have obtained from the 1st of November to the 8th of December, which is not only over the record period of 2021, but is at that higher over the third quarter 2022.
Operator: The next question comes from Rebecca McClellan from Santander.
Rebecca McClellan: Could you just tell us what you've done with your prices over the latest collection, please?
Marcos López: In terms of pricing, there are no updates as what we mentioned that, in the situations where there are issues in which, especially on the cost side, that we require to adjust prices to defend our gross margin. We do it always on a very progressive way. We mentioned at the beginning of the year that for this year and based on the what the situation in the market, we were going to adjust prices by the mid-single digit. So nothing material. And again, it's a very, very focused exercise. It's not by -- it's not across the board. It's by a family of product, by a family of fashion components. And this remains the case. I mean you can -- you have to -- basically, what we have mentioned in the presentation is that the execution of the business model we had is based on the strength of the fashion collections and the customer experience in our stores and online.
Operator: The next question from Richard Chamberlain of RBC.
Richard Chamberlain: A couple from me, please. First of all, how should we interpret the reduction in cash and increase in short-term investments in the net cash line? Should we expect higher financial income or much higher financial income in Q4 and next year? And then the second one is on inventory. To what extent has the recent inventory reduction as the result of any increased discounting or participation in Black Friday type activity?
Marcos López: Well, regarding cash, as you can imagine, our treasury is always trying to find the best opportunities for investment of our cash and this is why we tactically moved from short-term investments into cash and vice versa. Obviously, with higher interest rates, it's more interesting to try to achieve a bit more of profitability, but we don't expect very significant changes for the -- on a quarterly basis. But we always try to obtain the best profitability for our cash. And regarding the more discounting, this is not the case. Our participation in events like Black Friday is very limited. Our key focus is to sell the latest fashions at full price. So nothing material versus last year.
Operator: The next question comes from Paul Rossington of HSBC.
Paul Rossington: One question. I think you said that OpEx growth year-to-date has been below top line growth. But if I look at the numbers, if I add it up correctly, I think OpEx growth was ahead of top line growth in Q3. I was just wondering if you could provide some color on that.
Marcos López: Absolutely. Basically, what we have mentioned in the presentation is clearly that if you include all the lease charges into operating expenses, then operating expenses grew 4 percentage points below sales. Clearly, this is just a result of the IFRS accounting that you know very well. But there was clearly leverage in this first 9 months of the -- we've seen that mistake in some of the commentators in the market. But clearly, you have to understand that to compare apples-to-apples you have to add all the lease charges to operating expenses. And this will result in a 4 percentage point of leverage in the P&L.
Operator: The next question comes from Georgina Johanan from JP Morgan.
Georgina Johanan: One with still two related parts, please. First of all, thanks for your comments in terms of the discounting. May I just ask with regards to Q4 then, if it's not on discounting, what actually are you expecting to sort of swing that margin? Because I think in terms of your full year guidance, it would imply a range of something like minus 150 to plus 150 for Q4 alone. So just what are the swing factors there, please? And then should we still expect inventory to be elevated, i.e., sort of bringing them in early when we come to the end of the final quarter, please?
Marcos López: Okay, I will start with the second one. As we have updated you on the 8th of December, our inventory is just 15% higher, and we have provided you a trading update of 12%. I think this is the best way to put the situation into the context and this is why we are reiterating the gross margin for the year of vision of a stable gross margin, which for us always includes the minus or plus 50 basis points comment to adjust that. But there are no changes in our guidance for the year.
Operator: The next question comes from Warwick Okines at Exane BNP Paribas.
Warwick Okines: Could you just comment maybe about how you see the external factors on supply chain costs for the year ahead? Do you think you'll have to raise prices again by mid-single digits in the next season to maintain and protect gross margins?
Marcos López: Well, let us focus on the current season. We are still in the middle of the Autumn/Winter season, and we'll talk about those factors in March. What we can tell you is that as of today, despite the challenging environment that we have described and that you know well, with so many factors affecting gross margins, OpEx, I think the focus is totally on the current season, and this is why we can provide you with these numbers in the sense that we have obtained these results and we are able to focus on stable gross margin for the year with a 12% growth in the trading update, 15% inventory position. So completely focused on the current season and then in March, we'll talk about next year.
Operator: The next question comes from Nick Coulter, Barclays.
Nick Coulter: It's Nick Coulter from Citi. A slightly different lens on SG&A perhaps. If you could talk to some of the initiatives you have in place to control cost inflation in your SG&A, please? And perhaps why that should continue into the coming quarters?
Marcos López: Well, probably what we should talk is about two things. I think the first one is that the company has a total focus on executing in a disciplined manner, and this is not something that we change in every quarter. We clearly try to obtain all the efficiencies basically through the efforts of our people and also through technology, right? And these factors combined with the business model that we have, which combines stores and online in a very effective manner. In the presentation, we talk about, for example, the store mode now present in 60 countries. We continue to obtaining efficiencies all the time. And this is why in these 9 months, there is 4 percentage points of leverage in terms of OpEx versus sales. Our focus is always to try to maximize sales at full price, executing the model with quality, with interesting fashions, with constant drops of new collections. And this is what is delivering the type of returns that you are seeing.
James O'Shaughnessy: We're going to go over to webcast questions now. There have been a number of webcast questions today, the first of which is can you tell us a little bit more, please, Oscar, about the Zara pre-owned initiative?
Oscar García Maceiras: Well, thanks for the question. Zara pre-owned forms part of our commitment to circularity, embedded in our sustainability strategy. As we have already mentioned, it's currently available to customers in the U.K., allowing them to extend the use of life of clothes through repair, resell and donations. The repair service is available in all the stores and are now also online. It's designed to help customers to extend the life of the fashion. In the case of customer-to-customer resell platform, this is a space where customers can sell and buy brand products from any season from other customers. And the platform provides help with photos and information on the original products. Regarding donation service, customers can donate clothes by requesting a home collection. The service, which supplements our in-store clothing collection program beams ensures that all products collected are donated to local NGOs, we work with to support the development of projects in local communities. Our target, our ambition is to deploy this program to more core markets during 2023.
James O'Shaughnessy: Thank you. The next question on the webcast platform. Can you provide some comment on the performance in the U.S.A. and China, perhaps?
Oscar García Maceiras: Well, the sales progression in the 9 months was very positive from a global basis up 19.3%, as you know, with a strong growth in all geographic regions. The sales evolution of the different countries, of course, related to the timing of the temporary lockdowns both in this period, as well as in the comparable period last year. Regarding the U.S., the key issue in 2022 so far has been the strong rebound in in-store traffic and in-store sales. We are very happy with our performance in the Americas, so far this year, and the U.S. is already our second largest market. And we continue to see very strong growth opportunities there. In the case of China, well, has been challenging this year due to the rolling restrictions across the country throughout the 9 months. But we remain absolutely confident about our opportunities there in the medium to long term. Fashion demand continues to be strong in China. And for sure, it will remain a core market for us for Inditex.
James O'Shaughnessy: The next question. This year, you have opened large flagship stores in Plaza de España, Madrid and Battersea in London. Can you talk a little bit more about the sales development in these stores, please?
Marcos López: Well, the stores in Plaza de España, in Madrid and Battersea in London are great examples of the kind of stores that we are opening now. Large flagship stores in the best global retail locations, fully digital and sustainable. Both stores include all the features of our digital store mode allowing a complete digital experience, and spaces for lingerie, newborns, et cetera, et cetera. The sales since opening has been very strong as they are the kind of stores that gives the customer experience that's worth going to the store for. Our idea is to keep on opening this type of stores in another prime locations such as Paris Champs-Élysées as we have already mentioned during our presentation.
James O'Shaughnessy: Thank you. That concludes the questions on the webcast platform.
Oscar García Maceiras: Thank you to all of those participating in the presentation today. For any additional questions you may have, please get in touch with our capital markets department, and we'll welcome you back in March 2023 for the full year results.